Operator: Good morning, ladies and gentlemen. Welcome to TeraGo's Third Quarter 2025 Financial Results Conference Call. [Operator Instructions] I would like to remind everyone that this conference call is being recorded. TeraGo would like to remind listeners that the company's remarks and answers to your questions today may contain forward-looking statements that are based upon management's current expectations. All such statements are made pursuant to the safe harbor provisions of and are intended to be forward-looking statements under applicable Canadian securities legislation. When relying on forward-looking statements to make decisions with respect to the company, you should carefully consider the risks set forth in the Risk Factors section in the 2024 Annual Information Form, which is available on www.sedarplus.ca and also consider other uncertainties and potential events. Except as may be required by Canadian securities laws, the company does not undertake any obligation to update any forward-looking statement as a result of new information. We would also like to remind listeners that TeraGo uses certain non-GAAP financial measures to arrive at adjusted results to assess its business and to measure overall performance. TeraGo believes that these financial measures provide readers with a better understanding of how management views the company's overall performance. I will now turn the conference over to TeraGo's Chief Executive Officer, Daniel Vucinic. Sir, please proceed.
Daniel Vucinic: Thank you, and good morning, everyone, and welcome to our third quarter 2025 earnings call. Today, we are pleased to share how we are further accelerating our value creation strategy. In the third quarter, our team continues to have a disciplined focus on our customers, operational efficiency and positioning the business for the future. We are seeing better gross margins, higher average revenue per account, ARPA, reductions in operating expenditures, superior deal level economics and a more efficient approach to capital investments. Our revenue reflected a strategic decision to allow unprofitable customers to churn as part of our disciplined approach to profitability and long-term value creation. At the same time, Terago's focus is on the larger end of the SME clients that have multisite locations, which is validated by our continued growth in ARPA. Those larger client deals typically have longer sales cycles and in today's economic uncertainty environment, those larger deals are taking a little bit longer than what we would want. However, we are encouraged by our growing sales pipeline. Following quarter end, we successfully completed a transformative series of financing transactions, including new term debt, and equity financings that have strengthened our capital structure and provided the flexibility to pursue growth opportunities across 5G private wireless networks and next-generation fixed wireless connectivity. With a stronger foundation, we remain focused on execution and creating long-term value for our stakeholders. TeraGo is a critical player in the Canadian communications landscape. We are uniquely positioned by owning 91% of the millimeter wave spectrum, national backbone network with 400-plus wireless hubs, covering 26 million population of Canada and passing 11 million homes. There really is no one like us. Being the largest millimeter wave spectrum owners, TeraGo continues to work closely with ISED to drive competition, investment and innovation. Millimeter wave spectrum is becoming increasingly important as demand for high-capacity, low-latency connectivity continues to rise. ISED's recent millimeter wave consultation is proposing to repurpose the lower 26 gigahertz band, previously called the 24 gigahertz for flexible use. A flexible use decision would mean that millimeter wave spectrum could be used for both mobile and fixed wireless services. In fact, service providers in the U.S. are increasingly leveraging millimeter wave technology to enhance mobile connectivity in densely populated areas such as stadiums, concert arenas, urban areas. The extremely high capacity and ultra-low latency of millimeter wave spectrum makes it ideal for supporting large crowds where conventional mid-band or low-band networks often experience congestion. As per ISED, spectrum is a critical input for wireless service providers. Flexible use of millimeter wave spectrum will enable providers to increase network capacity, address growing traffic demands and enable new applications such as ultra-low reliable low latency services and advanced automation across industries. Canada is, in fact, at a pivotal moment where productivity continues to lag behind other similar economically developed countries and the current trade wars certainly add significant pressure to this. Millimeter wave spectrum in a 5G private wireless network offers significant opportunity for industry verticals like manufacturing to automate operations and leverage robotics. This requires a high level of bandwidth, high network performance, ultra-low latency and a robust and secure network. We are encouraged by the progress ISED is making with their March 6, 2025, 5G millimeter wave consultation on the 26 gigahertz and 38 gigahertz bands. We look forward to their decision on the millimeter wave spectrum and including next steps towards a future auction. With that said, I will turn it over to our CFO, Raj Sapra. Raj?
Rajneesh Sapra: Thanks, Dan. Good morning, everyone. I will go through briefly over our Q3 2025 financial results presentation, which is available on our website. Turning to Slide 4 of the presentation for a look at our KPIs. Our average revenue per customer account, or ARPA, for our connectivity business was $1,241 in Q3 2025 and 1.6% increase compared to $1,221 for the same period in 2024. ARPA levels continue to improve as a result of changes in customer base and product mix. Our churn was 1% compared to 0.9% for the same period last year. The company continues to review, modify and improve its customer experience practices to increase customer engagement focus on mid-market and large-scale customers as well as implementing new strategies for customer renewals and retentions. Turning to Slide 5 to go through our broader financial highlights. Total revenue for Q3 was $6.4 million as compared to $6.5 million from same period in 2024. The decrease was primarily driven by increased churn stemming from management's continued initiatives to optimize the customer base by discontinuing service to unprofitable accounts. This was partially offset by an increase in revenue from new customers, which were installed in the current period. As noted in the MD&A, the company has a strong backlog of approximately $96,000 in monthly recurring revenue, equivalent of $1.2 million in annual revenue, contributing positively to the company's revenue going forward. Adjusted EBITDA was $971,000 in Q3 2025, an increase of 3% despite the lower revenues compared to $944,000 from the same period in 2024. The company continues to strive for profitable revenue and driving efficiencies in the business. Net loss for Q3 was $2.4 million compared to a net loss of $3.3 million for the same period in 2024. Turning now to Slide 6 to the balance sheet. We ended the third quarter of 2025 with $1.3 million in cash and cash equivalents. In the third quarter of 2025, we generated approximately $1.1 million in cash from operations, comprising of almost $1 million from business operations and a small portion from positive working capital movements as compared to Q3 2024. As was noted in our Q2 earnings call, during the third quarter, the company completed the sale and leaseback of its 7 telecommunications towers for gross proceeds of $1.35 million. As part of the transaction, the company entered into a tower space license agreement with a 10-year term, allowing continued access to the tower sites for the operation of its telecommunications equipment and service our customers. As Dan alluded at the top of the call, subsequent to the quarter end, we completed a comprehensive recapitalization of the business, aggregating approximately $46 million. This included a new 3-year senior secured term loan facility of approximately $30.5 million, all Canadian dollar designated and concurrent equity financings through a private placement and rights offering totaling approximately $15.9 million. The recapitalization resets our capital structure, extends our maturity profile and provides financial flexibility to grow and pursue opportunities for the business. With that said, I would like to turn the call back over to Dan. Dan?
Daniel Vucinic: Thanks, Raj. Our comprehensive strategy is enhancing value for our clients, employees and shareholders. TeraGo is uniquely positioned to drive innovation and increase investments in its next-generation offerings for businesses. That wraps up the prepared remarks for us today, and now we can open up the call for questions. Operator, back to you.
Operator: [Operator Instructions] Your first question for today is from David McFadgen with Cormark.
David McFadgen: A couple of questions. Has ISED given like publicly said when they're going to make a decision on the lower 26 band or 24 gigahertz band in terms of being able to use it for mobile?
Daniel Vucinic: So my last conversation with them is that they're actively working on this file coming up with a decision. However, they're not at liberty to announce any kind of timing just yet as part of that.
Rajneesh Sapra: And just to add to that, the consultation, which ISED put forward in March proposed to flex use. That was their starting goalpost.
Daniel Vucinic: Yes. And we're predicting and this is kind of our prediction that they will come out with a decision sometime in the first half of 2026, but we will see.
David McFadgen: Okay. Okay. So it's probably a '26 event. Okay. All right. And then I was just wondering -- so what are the primary drivers behind the ARPA increases? Is it just onboarding new customers at a higher level? Or maybe you could comment on that?
Daniel Vucinic: Yes. A combination of TeraGo is going up customer segment. So given our different types of products and services and our national reach as well as our connectivity with other partners, we're providing a full managed services to those clients in addition to our fixed wireless access. So this is where we are getting a larger wallet share of those customers. So the average revenue for those accounts are going up. And then the traditional smaller accounts that are more unprofitable as per our press release, we've been letting them churn out. So the combination of both continues to drive the ARPA up.
David McFadgen: Okay. All right. So you said in your prepared remarks that it seems like it's taking a bit longer to sign up new customers. Maybe you could just comment on the length of the sales cycle now versus previous.
Daniel Vucinic: Yes. So usually, now that we're -- we have been going up customer segment, bigger ARPA means bigger deals and bigger deals traditionally take longer. Now with this uncertainty, that is kind of their decision-making is stretched out a little bit further. So it's been a couple of quarters per se. So something that would maybe take 6 months to close is maybe taking more towards 12 months. But the good news is we are seeing recently like lots of more activity and more engagement with clients. So that's a good sign and more opportunities in the sales funnel. So over the next couple of quarters, we are expecting to close more business. And this new equity injection as well is helping us to invest to grow as before. As we talked about, we've been mostly sweating existing assets. So now with the equity, we will be launching next-generation fixed wireless products as well as expanding our hub reach as well.
Rajneesh Sapra: Yes. And just to add to that, what Dan said, larger deals, procurements, looking at our financials, and I mean, David, you were asking us every call what's happening with the renewal of the facility. So there was a dark cloud of uncertainty on our debt facility and capitalization of the business. So that was also playing a bit of a part in that because we were trying to get that refinance. Now it's behind us and all guns blazing focus on the business as well and try to drive some of these large deals to closure.
David McFadgen: Okay. So now that the company has been recapitalized, obviously, in a much stronger financial position, do you expect CapEx to increase? Or it's going to be primarily success driven like before?
Rajneesh Sapra: Look, I mean, there is no difference in our approach in terms of getting the ROI on anything we spend. Every dollar we spend, we're looking for a return on investment, will be success-based. However, having said that, we're looking at new technologies. So any time we get a new customer, we have the opportunity to apply new equipment, migrate some of the customers from the older one to the new, but it's going to be success-based. The other thing -- and I'll just add, I know you didn't asked, but I will add anyways, our real estate cost footprint, we're looking at that as well from -- from profitability of the hubs as well as equipment consolidation where we can kind of employ new technologies and consolidate our customers into less number of antennas/radios and cut some rental costs as well over the next year or so. So there's a bunch of things we're looking at. But the DNA of the business here is that every dollar which goes out has got to be ROI associated with it.
Operator: At this time, this concludes our question-and-answer session. I'd now like to turn the call back over to Mr. Vucinic for closing remarks.
Daniel Vucinic: Thanks again, everyone, for joining us on our call today. I'd like to thank our customers, shareholders who continue to support the company. I'd like to thank everyone at TeraGo who continue to do an outstanding job, and we look forward to providing an update on our progress on our next quarterly earnings call. Operator?
Operator: Thank you for joining us today for TeraGo's Third Quarter 2025 Earnings Call. You may now disconnect.